Reese McNeel: Thank you, everyone, for joining this quarterly -- yes, this Q3 audiocast for Prosafe SE. On the call today, you have myself, Reese McNeel, the interim CEO and CFO. We also have on the call today, Glen Rodland, our Chairman; and Bard Haugan, our Group Finance Director. To start off the call, I'd like to hand it over to Glen, who will start off for us today, and then I will follow up after. So Glen, I hand it over to you.
Glen Rødland: Yes. Good morning, everybody, and welcome to this audio call. I will just give a short introduction before we start the formal presentation of the third quarter. So yesterday, we announced that we raised NOK 350 million at NOK 60. Probably a surprise to many of you that the company decided to do another capital raise, after we raised capital in May. The reason -- those 3 reasons why we had to go to the market in May and then again now in October. The market, first of all, the market is the first factor. For accommodation, the 2 major markets or the traditional market have been in the North Sea, but over the last few years, Brazil have developed to become probably the biggest market. But Brazil is developing. As we expected, is quite strong. It's demanding more and more capacity, and that's well covered also in our presentation. So we will get back to that. The big surprise for us in 2023, and just a little bit of side step, 2022 was quite a good market for accommodation. There was a lot of demand, partly because the market was picking up, but also partly because catch-up after COVID, there was very low demand in '20 and '21. So '22 was good. And last year, we were planning for a healthy 2023 so was the market. The share price was good. Most analysts and most observers saw that market was developing quite nicely. But then all of a sudden, we had a political event in the U.K. called the windfall tax, and that led to a standstill more or less. We see this also for drilling rigs. We see further activity based out of U.K. There is -- it led to surprisingly stop in activity, MMO and maintenance, modification and also other types of investments. So North Sea and U.K. that have been like a very quite stable market, have been volatile up and down, but there has always been activity for accommodation in the U.K. over the last 15, 20 years, as long back as I remember, there have always been activity in the U.K. 2023, no activity and no rigs at all, not from us or not from any of our competitors. That's a very unusual. So -- but I think I will get back to that. But I think this will normalize gradually. 2024, better; 2025, strong. And then combined with the current oil price, it looks much better going forward. But it was a big surprise in 2023, for us and for the market. The second factor that has led to that we need to raise more capital is, of course, that interest rates have -- we have a very good financing. We have a high leverage, but we also have quite low interest rates until the interest rates start moving. So now our interest rate have moved up from about 4%, which we had last year, including margin, to around 8%. So a significant increase in interest rate for Prosafe. The last thing is investment. We see that these units, they are quite modern. Most of our fleet are built after 2015. But 2015 is still almost 10 years ago. So we see that these SPS, special surveys, are coming up for 10-year and also for 5-year survey for the Eurus. The Eurus is coming up. But that's expected, that's expected. But we have to say that the inflation we now see in -- with [ yards ], tighter supply chain and that the prices are increasing. And so especially with Concordia, which we did quite a bit of investment in the beginning of the year of 2023, we had an overrun that was unexpected. It's a combination of inflation, tighter yard capacity, but also a bit of bad planning for more sites. So we are -- it's not only external factors, but also a bit of that planning for more sites. I can promise you that the next investment capital project will have a much, much tighter control and be much better planned. So -- but Concordia was also a surprise to us. So these 3 led to -- and in combination with the loan agreements and the covenants we have, and also a step-up in the covenant requirement for minimum cash in 2024 compared to 2023. We thought it was proper governance that we plan for having enough liquidity to do all of our plans, and not rely on any new contracts for 2024. Of course, for 2024, there's still possibilities that we can get 1 contract or 2 contracts. But we wouldn't rely on that. And we think it was, what should I say, good for the company that we have -- we can run the company without, what should I say, our plans after 2025. So what changed from May until today, why didn't we waste more money in May. Yes, of course, this is -- what should I say, things are developing. What we could say, in May, we thought that we still would -- we were quite optimistic that there would be interesting jobs in 2024 for the Boreas and the Caledonia. Now we see, the door hasn't closed, but the likelihood has been reduced. But we are still working on at least one opportunity, maybe 2. So it's not -- it's not done, but we think it was proper to fill up with more cash now. So what do I see? I see that what we see from the market is that the market is tightening. This windfall tax protest, I might call it that, I think it's much that the oil companies are protesting by canceling moving projects. I think it's more moving than the canceling. A lot of this work needs to be done. What are we seeing? We see that 2025 is shaping up quite nicely. We have 5 out of 7 units open for 2025. So we have ample capacity and high operational leverage going into 2025. And of course, we also have high financial leverage going into 2025. So you can say, this company, now the leverage has been negative for us, high operational leverage and high financial leverage. If the market turns around, all of a sudden, this leverage, 2 types, both operational and financial, could be an advantage for shareholders and for value creation. So -- but that will remain to be seen. I'm optimistic that this market and what I see from other sectors, I'm involved with rigs -- drilling rigs and other oil and energy-related companies. I see the market is -- I think day by day, there's lack of people, there's lack of equipment. And also, we should remind ourselves that Prosafe and oil activity is mainly mid-cycle to late cycle. So we are not the first one to benefit, but we will benefit as we get a little bit further down the road in this up cycle. And I think '25, '26 and beyond could be very interesting. So that's a short introduction for me, why we have been to the market twice this year, and hopefully, we -- now I'm quite sure, we have now a war chest of cash that would bring us safely to 2025. And if I'm right, I might be wrong. But how I see this, I think that 2025 could be a very, very interesting year. And there's still upside for 2024. So it's not -- don't adjust it for 2024 either. We have 2 available rigs, and we are in discussions. It depends where this go. So with that introduction, I leave the word to Reese again, to take us through the presentation.
Reese McNeel: Thank you very much, Glen, for those -- for that introduction. And I would just like to also highlight that we're very pleased to have secured this runway to get us through 2024. I'd like now to jump to the highlights of the quarter. We can jump to the highlights, key events slide. I think one of the major key events this last quarter was gifting Concordia on hire in the Gulf of Mexico. As Glen mentioned, it costed us a little bit more than we had hoped, but we did get her on hire on time, and I was there just a few weeks ago, and I can say that she is working very well, and the client is very pleased to have her on location. And obviously, it's great for us to have actually 4 of our assets now working during this quarter. And that obviously drove additional improvement in our results, with EBITDA coming in at $8.4 million. That was impacted by mobilization spend, but of course, was also very positively impacted by having these rigs on hire, and having actually behind us, a significant portion of the cost which we have invested in the early part of the year. So very happy to see these rigs working. Liquidity did decrease in the quarter, and I will come on to that a little bit later. The majority of the impact in liquidity in the quarter is again driven by these investments and the unwinding of the working capital related to that. Looking a bit ahead and very much in line with Glen's comments, I think we're very positive on the outlook, and I'll mention a couple of things in specific as we move along, but we see significant interest from clients, with active discussions regarding work. Particularly from 2025, but also looking ahead even into 2027 and beyond. And we think that is a very positive sign when we see clients discussing with us so far in advance. And I think as well, we see a continued demand in Brazil. We'll come on to that, but we did see in the quarter, significant tendering activity and increases in day rates and term coming out of Brazil. A couple of comments, I guess, on our operating performance. I mentioned already, of course, the 4 rigs working increased in utilization. I think we're going to continue to see a decent utilization in the quarters to come. We do have the Eurus SPS coming our way. In the coming couple of months, she will be off-hire for approximately 35 days. So I think we'll see probably flat utilization next quarter, but we're going to see that ticking up going into 2024, when we have all 4 of these assets working. And we still have, as Glen mentioned, a couple of assets which are on the bench. And there are still a couple of opportunities out there. Of course, as time passes, the probability, of course, decreases, but we're still optimistic and still fighting hard to also get some work for the Boreas and Caledonia looking into 2024. We do have also the Scandinavia, which we continue to market heavily. It's a bit of a unique case, but a very interesting assets, and I also went and visited her a couple of weeks ago in Bergen, and she's known as the Hilton of the North, and I can say that she's still in very good condition. And I think as we see an improving market, I would also hope that we are also able to secure some work for her in the coming years. Backlog, continued to have quite a strong backlog. We didn't have any additions in the quarter, but the backlog remains quite high. Again, driven by the Eurus and the notice on long-term contracts in Brazil, but also Concordia and Zephyrus are contributing here, and we do have the options with Concordia coming our way. Again, it's a 330-day contract firm with 6 1-month options, and I do think we are optimistic on several of those options, and that would then kick in from July of next year. And good and open dialogue with the client there in the Gulf of Mexico as well. Looking ahead, I'm not going to talk about utilization. I think I mentioned that, but I think, maybe just a couple of words on the one remaining investment project we have ahead of us for this to close out 2023. That is the Eurus, again, 35 days off-hire expected in the coming couple of months. I think we've -- we have a good control of that project. Our project team has been down in Brazil, and we've had several reviews. So I'm very confident that we will execute this project in a very good manner and well within the estimates that we have put forward here. And again, this is her 5-year SPS. Client, very pleased with Eurus and Notos. I must say, also the opportunity to be down in Brazil, and they refer to these assets as the rocky. They're some of the most steady assets working in Brazil. I think while many drillships or other assets are off-hire due to weather, you'll always find Eurus and Notos continuing to work. So we're very happy with their performance. Diving a little bit deeper into the financials. A good revenue quarter I must say. Again, driven by having 4 assets on hire. It was also a one-off from the sale of the Regalia gangway. That was a positive income, both revenue-wise and EBITDA-wise in the quarter. While a small amount, it was also important for us to do what we can to bring in additional liquidity where needed. And I think we're going to see these revenue figures. As I mentioned, as utilization improves going into Q1 next year, we will see the revenue continue to increase. [ Brief on ] income statement. Again, as a reminder, mobilization cost was positively impacting the EBITDA. How does that work? Basically when we have spend which is related to a specific project, we put that on our balance sheet, and it is then amortized or hits the P&L later during the contract period. So this is essentially an improvement in this quarter's EBITDA, which will lead to a slightly lower EBITDA over the contract period. It's an accounting -- that's the correct accounting for these projects. So that was a positive -- if you want to call it, almost a positive one-off impact related to Concordia in the quarter. And again, the Regalia gangway, which was positive. But overall, a very positive quarter, and good to see that we're kind of back in the black on the EBITDA side. On the balance sheet, the balance sheet this quarter was mostly impacted by, of course, the positive results, but mostly by the cash and working capital. And jumping quickly to that slide. Again, working capital was the biggest factor. That was in part driven by this mobilization spend, which I mentioned, but also to a large part, due to working capital, receivables and payables as we have completed the projects Zephyrus mobilization to Brazil, Concordia mobilization, but as well as the Notos hull cleaning. Of course, we see that the payables unwind, and in particular, we see an increase in accounts receivable as we get  Concordia on hire. So the main story here on the cash in the quarter was largely driven by working capital. Looking at our debt maturities. Again, we're very pleased that we were able to secure this additional liquidity, and very happy to have seen very strong support from a very large portion of our existing shareholder base. And we do have a very favorable credit facility with a low margin. There is a 2025 maturity. And as Glen mentioned, we have this covenant uptick coming next year. But with this additional liquidity, which we have now secured, we have a very clear runway through 2024. Even in a scenario where we don't have any additional work in '24, and I think that gives us a very good runway to secure new contracts, in what we see as a very much an improving market, and I will say a few words on that, which will complement, I think much of what Glen reiterated earlier. Talking a bit about the market. The market is very tight. If we look at this graph, we see as well that essentially in 2024, we're the only party with open capacity for work going into next year summer season. Let's see how that pans out. Still a couple of opportunities, birds on the roof, if you will, which we're pursuing. But also looking into 2025, we see that the picture is very tight. We believe that our main competitor, Floatel, has actually secured substantial work for Victoria -- for Victory, apologies, Victory going into 2025 as well, which will leave the market tight in 2025. And again, we have had ongoing client discussions already regarding 2025. So we believe that 2025 for the North Sea alone will be increasingly tight, and we're expecting that we will actually see tendering activity here. Potentially already this side of the new year, but most likely Q1, early Q2 next year, we will expect to see significant activity looking into 2025 in the North Sea. Day rates, I'll touch a little bit on the next couple of slides, but day rates continuing to improve. And I think that was also highlighted in the last round of tendering in Brazil. If you look at the graph at the bottom right-hand side of this chart, we see that the rigs which were re-tendered in this last bidding round, with Petrobras, we see significant uptick in rates, POSH Arcadia, for example, was previously on a day rate of $60,000 secured a new contract at $115,000. Also had a duration of only 4 years, but secured a 4-year deal. So we see a substantial improvement in rates in Brazil and also in duration and term. And this very much fits into, again, as mentioned earlier, what we see in other segments of the market, particularly drilling, pipelay vessels, construction support vessels. We've seen this as well in Brazil. With the high level of FPSOs coming online in Brazil and the high level of activity, we see that Petrobras is in need of securing capacity, and that is leading to improving day rates and increasing term. We took a choice to send Zephyrus down there earlier this year. I think that was a very smart choice. She's performing very well. Let's see she's open to come back to the North Sea if 2025 is good, but there, we also expect that there will be tenders in Brazil, which may suit her well. We think there's at least one large tender coming from Petrobras towards the end of this year and one -- at least one other substantial tender from an independent in Brazil, and we think that there will be plenty of opportunities, and that the Brazilian market will actually take up quite a lot of the supply that is available in the world for accommodation vessels, and which shall also put increasing pressure on the day rates. Jumping back a little bit to the North Sea, and I very much like the graph here on the left-hand side of our chart, which shows the North Sea activity over the years. And as many of us who've been in this sector for a couple of upturns and downturns, we know that 2015 -- 2014, 2015 is when we really saw the decrease in activity in the last downturn. But interestingly enough, in accommodation, that's when actually we saw a lot of the hookup work actually kick off for us. So again, we are late cycle. That hookup work, of course, is projects which were sanctioned in the boom time, but which then came on stream in '17, '18, '19. We believe we're seeing the same trend again. We see the high level of projects which have been sanctioned in Norway. We see the backlog driven by -- which was mentioned, the windfall tax, and we see that clients and that has happened already. We see clients looking to secure work for their tie-ins and their actual new project developments in 2026, 2027. We've even had clients reaching out to us discussing 2029. So we believe that very much supports this trend, which we saw in the past, which is that we are -- we tend to be late cyclical and a couple of years behind. So we're looking forward to see how that pans out in the coming months in actual tenders, but are very optimistic. That ties in nicely as well with sort of the earnings potential. And again, we -- kind of the same picture, but we see that if we go back to sort of we talked about this slide a few times, but if we go back and look at previous peaks or peaks to trough, we see that the EBITDA potential of Prosafe is substantial. And as Glen mentioned, we do have a high operational leverage and a high financial leverage today, but in an improving market, I think that has a very high potential to benefit many of the shareholders. We don't know for sure, but we are optimistic that, that will turn out, and that is something we have seen in several of the other offshore markets in the past months. So in a very short summary, I think very good operating performance this quarter. We had strong safety record as well. 4 vessels working, all of them actually was for a full commercial uptime when they were on hire. Of course, Concordia started a little bit later, but full commercial uptime since her start. Expecting utilization to continue to improve, particularly looking into Q1 2024. Substantial improvements to the market, ongoing discussions with many clients, looking forward to increased tender activity, particularly later in the year going into next year. And that all in a tightening supply market. And I think above all, we're very happy to have had the support of our shareholders. And I think we have secured a very good runway going through 2024. And that will give us the flexibility to secure these new contracts, and to also look into other more strategic opportunities as we go into 2025. So I'd like to thank you very much for taking the time here. And like to just see if there are any questions here quickly that have come in. I don't think I have received any questions by e-mail today. So with that, I would very much like to thank everyone for joining this call. And thank you, Glen, also for the very good introduction, and I wish everybody a very  good Thursday. Thank you very much.